Operator: Good morning and welcome to the Restaurant Brands International Third Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. And I would now like to turn the conference over to Kendall Peck, RBI's Head of Investor Relations. Please go ahead.
Kendall Peck: Thank you, operator. Good morning, everyone, and welcome to Restaurant Brands International's Earnings Call for the third quarter ended September 30th, 2023. As a reminder, a live broadcast of this call may be accessed on the Investor Relations webpage at rbi.com/investor and a recording will be available for replay. Joining me on the call today are Restaurant Brands International's Executive Chairman, Patrick Doyle; CEO, Josh Kobza; and CFO, Matt Dunnigan. Today's earnings call contains forward-looking statements, which are subject to various risks set forward in the press release issued this morning and in our SEC filings. In addition, this earnings call includes non-GAAP financial measures. Reconciliations of non-GAAP financial measures are included in the press release available on our website. During portions of the call today, we will be referencing franchisee profitability measures that are based on unaudited self-reported franchisee results. In addition, the consolidated gross metrics discussed during the prepared remarks, including consolidated system-wide sales growth, comparable sales, net restaurant growth, organic adjusted EBITDA growth and organic adjusted EPS growth exclude results from our franchised restaurants in Russia, as we did not generate any new profits from restaurants in Russia in 2022, and do not expect to generate any new profits in 2023. And now I'll turn the call over to Josh.
Josh Kobza: Good morning, everyone, and thank you for joining us on today's call to discuss our third quarter of 2023. We delivered another solid quarter, including 7% comparable sales and 4.2% net restaurant growth, which drove year-over-year system-wide sales growth of 10.9% and organic adjusted EBITDA growth of 9.3%. Our comparable sales this quarter were driven by 8.1% growth at Tim Hortons Canada, 7.6% in Burger King International and 6.6% at Burger King US. In addition, Popeyes US grew 5.6% and Firehouse US was up 3.9%. Our development teams are focused on closing out the year, with Q4, as always expected to be the biggest development quarter of the year. That said, we are now expecting a higher mix of smaller format express units at Tims China, which drive brand awareness and penetration, but we will not be including in our restaurant count or net restaurant growth results given their lower ARS levels. As a result of this, as well as smaller movements in other markets, we now expect 2023 net restaurant growth to be around 4%. Looking to 2024, we are confident, we can drive 5% plus net restaurant growth as we stabilize Burger King US ramp up Burger King China and Firehouse US and see Tims, Popeyes and Firehouse International accelerate. We are also focused on driving traffic and franchisee profitability growth at each of our brands, and we're pleased to make progress on both this quarter. Tim Hortons Canada drove positive traffic, tickets at Burger King International were flat, and while we still have plenty of work to do, we were very pleased to see progress in our Burger King and Popeyes US businesses with traffic improving to flat year-over-year. On franchisee profitability, strong top-line results, moderating costs and improved labor productivity helped deliver another quarter of double-digit year-over-year growth in average restaurant level EBITDA for each of our home markets. We look forward to providing you with a full year update on home market franchisee profitability on our Q4 call in February. Now, let's turn to brand performance, starting with Tim Hortons in Canada. We saw a healthy balance of check and traffic drive comparable sales of 8.1% and system-wide sales growth of 8.5%. These results were driven by strength in our core breakfast and baked goods, continued PM food and beverage extensions and operational efficiencies, including improved speed of service. These results also more than offset the lapping of our Q3 2022 Smile Cookie initiative, which shifted into Q2 this year and impacted our comparable sales by over 100 basis points. We reinforced our breakfast and baked goods leadership with our Smoky Honey Bacon Breakfast Sandwiches and the introduction of Dream Cookies, which built off our successful Dream Donuts platform. These new products drove trade-up from our core platforms while attracting younger guests in more urban areas. Dream Cookies helped us gain share in an important growth category that skews towards the PM Daypart. In fact, over 65% of Dream Cookie sales came in the PM Daypart nearly 5% higher than PM sales for our core cookie offerings. We also extended our savory anytime snackers with the addition of twists, which have proven to be a great afternoon snack at an attractive price point. These initiatives, coupled with continued strength in our loaded bowls and wraps, contributed to 7% year-over-year growth in PM food sales and an increase in our lunch market share. Axel and team have also been thoughtful in capturing broad-based beverage growth to position the brand as the leading destination for both hot and cold beverages. We saw our cold beverage products, including our sparkling quenchers continue to pair well with our food offerings with an attachment rate of over 35%. This helped cold beverage sales grow 10% year-over-year and allowed us to sustain over 25% market share. While we still have plenty of opportunity to capture our fair share of the $4 billion cold beverage market in Canada, I am very proud of our progress and feel confident in the team's plan to continue our expansion. Our brand love and guest frequency has enabled us to build one of the most frequently used loyalty programs in Canada, with over 5 million average monthly active users that drive over 30% of our sales. Tims loyalty members received attractive personalized offers, including targeted offers to bring them back in the afternoon to try one of our PM snacks. Our digital and operations teams work cross-functionally and collaborate with restaurant owners to deliver a great guest experience. Our new scan and pay feature, which allows for a single QR code to scan for loyalty and payment, is creating a more seamless experience for team members and guests and is driving improvements in restaurant throughput. Our proactive operational initiatives, including coast to coast speed of service trainings coupled with an improved labor environment and growing guest adoption of scan and pay help drive a 7% year-over-year improvement in guest satisfaction this quarter and nearly 10% better drive through speed of service year-over-year. These advancements give us confidence that we can continue expanding into latter day parts with innovative food and beverage offerings without sacrificing on excellent service. It's exciting to see another quarter of great results, which would not be possible without the hard work and support of our restaurant owners, their team members and local communities. Turning now to Burger King, the international business grew third quarter system-wide sales by 13.3%, reaching over $14.5 billion in international system-wide sales over the last 12 months. These results were driven by net restaurant growth of 5.7% and comparable sales of 7.6%, reflecting solid performance in markets like Australia, the UK, Mexico, Japan and France, which just crossed the 500 store threshold. While we did experience a sequential deceleration in the overall rate of comparable sales growth from Q2 to Q3, this was primarily driven by moderating price. Burger King's international business has been an important long-term growth engine, and in September, we had the opportunity to visit restaurants in Europe with David and his team. We saw first-hand why this business is well positioned overseas modern image, great operations and the best products in our segment. Over 75% of our international BK restaurants have modern image, and with this generally comes a more digital guest experience, including having kiosks and over 50% of our international restaurants. This has helped drive over 50% of international sales through digital channels, and that number is closer to 90% in some markets like Korea and China. Digital sales are a win, win, win as they deliver a better experience for guests and team members and higher average checks and frequency for franchisees. Restaurants with modern image also typically see better operations, as they have more efficient back of house layouts, new restaurant technology and improved team member retention. Our team is in the process of rolling out a new proprietary operating system that further streamlines back-of-house flow for team members and products, especially in a digital era with multiple order and fulfillment channels. We expect to have the dynamic service system, or DSS, as we call it, in over 2000 restaurants by the end of 2023, with a path to 100% in the coming years. We've already seen solid results from DSS internationally, including 3% comparable sales uplifts on average and in mid-single digits improvements in speed of service versus non-DSS restaurants. On menu innovation, we have a number of distinctive platforms like plant-based, gourmet and indulgent LTOs that are a key driver for brand consideration. We take a localised approach to menu development like our Masters du Chef Burger in France, always anchored by our distinctive differentiator of flame grilling. We recently hosted our international franchisees at our convention in Paris, and it was terrific to see so many of our international franchisees learning from each other and excited to help drive our next phase of growth. We're also taking a number of our key international learnings and bringing them to Burger King's home market through our Reclaim the Flame plan. So shifting to Burger King in the US. In early October, we hosted our franchisees here across the US and Canada at our annual convention. There was clear optimism in the room as we work with our franchisees and their team members to Reclaim The Flame. Together, RBK team and franchisees reviewed the brand's recent progress, including improvements in franchisee profitability and the achievement of flat traffic this quarter. But as Tom reiterated multiple times, this is progress, not success. We have big aspirations and are aligned that we must be focused on the fundamentals of restaurant execution to achieve our goals. This is supported by continued growth in franchisee profitability. Conviction from the franchisees to reinvest in their restaurants, and the development of a new restaurant format known as sizzle, designed collaboratively with franchisees to improve the guest experience for guests and team members while driving a better return for our franchisees. Turning to results for the quarter, comparable sales increased 6.6% and systemwide sales grew 6.0% year-over-year. Our total net restaurant count declined by 2.8% year-over-year as we close older and lower performing restaurants to support a more modern system increasingly run by better operators. We saw flat traffic in Q3 and digital sales growth of over 40% year-over-year, resulting in a record digital sales mix of 14%, including 28% digital mix and our company operated restaurants that have rolled out kiosks. Growth this quarter was driven by solid calendar initiatives leaning into our core equities like the Whopper and You Rule, and the induction and the introduction of our Royal Crispy Wraps. The team's focus on operations has led to continued improvements in guest satisfaction and an increase in product satisfaction across a few key offerings, including the Whopper, Nuggets, and Fries. By layering this with high quality marketing and targeted menu innovation, we've been able to improve our value proposition, attract new guests, improve retention, and drive our traffic gap to peers into positive territory beginning in mid-August. Turning now to our investment programs. As a reminder, we've committed to spending $400 million through 2024 across marketing, digital restaurant technology and image investments. While we did not book any expenses associated with our $120 million Fuel the Flame advertising contribution this quarter, we've spent approximately $25 million through September 30th and are on track to spend our full commitment by the end of 2024. Matt will touch on the drivers of Fuel the Flame some more when he walks through our financial results. As part of our $250 million Royal Reset program, we deployed $6 million this quarter towards the $50 million short term refresh. We're in the process of deploying restaurant technology and back of house equipment to over 4,000 restaurants and are already seeing positive results, include including improved technology stability, better guest satisfaction, and higher average restaurant sales compared to restaurants without new equipment in the same DMA. Within the $200 million remodel component, we are in early days but have seen completed remodels, driving uplifts and returns ahead of our initial expectations. I'm also happy to see that franchisees are leaning into quality over quantity with over 80% of committed remodels locked in as either full remodels or scrape and rebuilds more than we originally anticipated. Over the past 12 months of our Reclaim the Flame investment, the BK team and franchisees have made great progress in positioning the brand for profitable traffic growth and a healthy reinvestment appetite. This progress, and the enthusiasm we're seeing from our franchisee base, gives us confidence that we're on the right path to deliver a modern system with compelling unit economics. Turning now to Popeyes. Popeyes US grew same store sales by 5.6% and net restaurants 5.0%, driving system-wide sales growth of 11%. Comparable sales were driven by continued strength of the sandwich platform and our newest menu innovation, Ghost Pepper Wings, which also helped the business achieve a record digital sales mix of approximately 25% and its highest levels of chicken QSR traffic share in over two years. We recently built on our successful ghost Pepper wings launch with the addition of our new sweet and spicy wings. These ghost pepper wings, tossed in a sweet and savory sauce have become the most popular menu item since we launched the chicken sandwich and have driven traffic across new and existing guests in addition to driving add on to tickets. From an operations perspective, we are in the preliminary stages of implementing various initiatives, including a simplified and more efficient kitchen layout. A few Popeyes US restaurants are piloting easy-to-run kitchens, which feature integrated production lines and simplified processes modeled after our international stores. We're encouraged by the early feedback from team members as we look to optimize the layout and build a strong proof-of-concept. Popeyes has substantial opportunities to add more modern, digitally enabled restaurants with easy-to-run features to its existing restaurant base and close the convenience gap. As we close this gap, we're prioritizing and incentivizing growth with top tier existing and new operators in attractive locations across North America. I'm confident that these priorities will enable a better team member and guest experience, which will ultimately help drive franchise profitability and sales over the long-term. Finally, Firehouse Subs, which grew home market comparable sales 3.9% and increased system-wide sales by 6.6%. At Firehouse, we have delicious subs, great franchisees, and lots of excitement to grow the brand. We continue to strengthen our long-term outlook by building strong home market and international development pipelines. In the US, Mike and team launched a development incentive program for franchisees, offering them a great opportunity to grow in key markets over the next few years. Internationally, we signed agreements to open more than 100 restaurants over the next ten years across the UAE and Oman, and we expect to open our first restaurant in Mexico by the end of this year. The team did an amazing job developing a beautiful visual identity for the Firehouse International business. I had the chance to see it first-hand in Switzerland, and it made me even more excited about the overseas opportunity for this brand. We are also growing brand awareness in the US, and recently showcased Firehouse Subs on NFL programming for the first time, giving national recognition to Firehouse and its hearty Subs. The team is also committed to providing a great digital experience and delivering meaningful functionality upgrades to our app, which resulted in much faster load times and a better user experience, helping drive Q3 digital sales mix to 37%. I'm proud of the progress Mike and team are making across development, digital and menu innovation, and I am most pleased to see this translating into improving home market franchisee profitability, which is on track to grow significantly in 2023. Before I hand it over to Matt, I'd like to share that I'm about nine months into this new role, and I've been assessing how we plan to manage the business across brands and geographies going forward. As a result, we are evaluating making changes to our segments, including potentially reporting our international business separate from our home market businesses. You can expect to receive more information on this in the next month or so. Now I'll turn it over to Matt to discuss our financial results for the quarter. Matt.
Matt Dunnigan: Thanks, Josh. Good morning everyone. For the third quarter, our global system-wide sales grew 10.9% year-over-year, and our organic adjusted EBITDA grew 9.3%, while our adjusted EPS was down 5.6% organically as we lapped a large discrete, non-cash tax benefit in Q3 of last year. The primary driver of the difference between system-wide sales growth and organic adjusted EBITDA growth was a 2% year-over-year organic decline in gross profit in our Tim Hortons sales, minus cost of sales. While we've continued to see healthy underlying traffic growth at Tims in Canada, which is the primary driver of sales growth for the supply chain. There are timing dynamics impacting our second half year-over-year gross profit comparisons. As a reminder, we typically pass through commodity pricing semi-annually and last year we pass-through second half pricing in early Q3, while commodity prices were still increasing quite significantly. This dynamic drove a benefit to our Q3'22 gross profit dollars, which then reversed to a headwind for Q4'22, given the higher cost of sales base. In addition, our Q3 adjusted EBITDA growth benefited slightly from the lapping of nearly $6 million of net bad debt expense in Q3'22 as compared to $2 million of net recoveries this quarter. Looking ahead, we are expecting roughly $10 million of net bad debt expense in Q4'23, predominantly related to Burger King US. As you know, we have been working closely with franchisees to transition restaurant portfolios into the hands of strong local operators. Over the past few quarters, we prioritize the most distressed situations, closing unviable restaurants and cleaning up a number of portfolios. We expect to largely finalize the remainder of those workouts and closures by end of year, resulting in elevated bad debt for Q4, but with the benefit of a much improved foundation entering 2024. Now turning to G&A. Our segment G&A came in at $108 million, up 8% year-over-year. For Q4, we anticipate a similar year-over-year rate of segment growth, largely driven by higher performance based compensation and technology related expenses. Finally, I'd like to discuss our Q3 Fuel the Flame spend at Burger King US. As Josh mentioned this quarter, we did not contribute incremental advertising fund dollars as we were able to fund our marketing plans out of our baseline ad fund. Strong year to date results, cost optimization, and seasonally lower cost per ad in the summer months allowed us to preserve fuel to flame firepower, while still increasing our share voice year over year. Looking ahead, we currently anticipate our Q4 contribution will be around $35 million due to seasonally higher costs per ad, coupled with a pickup in other non-media expenses in the baseline ad fund to support our forward marketing calendar. While this will be our largest quarterly contribution to-date, I note that Q4, BK US media spend is expected to increase last year-over-year than it did in Q3, given we will be lapping the start of our investments from Q4 2022. Shifting to EPS. Our third quarter adjusted earnings per share was $0.90, compared to $0.96 last year, representing an organic decline of 5.6% year-over-year, excluding an FX headwind of 1% or about $0.01 per share. As I mentioned, our Q3'22 adjusted EPS included a $0.10 benefit related to discrete non-cash tax items. Excluding this, our Q3'22 adjusted earnings per share would have been $0.86 compared to $0.90 this quarter, representing an organic increase of approximately 6%. Our adjusted net income was also impacted by higher equity based compensation of $49 million. Given our underlying business performance year to date, we now expect 2023 equity based compensation to be between $195 million and $200 million, and anticipates some moderate growth off this base in 2024. Turning to capital structure and cash flow. In September, we refinanced $6.5 billion worth of term loans, representing roughly 50% of our debt. For a blended increase in our spread of 30 basis points, while extending the maturities of our $1.3 billion term loan aid to 2028 and our $5.2 billion term loan B to 2030. We also use this opportunity to further improve liquidity by expanding our revolver capacity from 1 billion to $1.25 billion. This successful transaction de-risk our capital structure at a marginal cost, and adds valuable runway and capital allocation flexibility to deliver on our plans over the next five years. Our Q4 results will reflect a full quarter of the increase in our spread, as well as the impact of recent increases in risk free rates. Our free cash flow this quarter was $408 million, allowing us to continue investing behind our key capital allocation priorities, including strategic investments in our brands such as Reclaim the Flame, maintaining and growing our strong dividend and repurchasing shares, all while delivering toward our mid Forex net leverage goal. Our free cash flow this quarter was impacted by $11 million of Reclaim the Flame investments at BK US primarily related to Royal Reset. In addition, we saw higher cash interest due to the flow through of increased market rates to the 20% of our debt that is not fixed. As a reminder, through our hedging activity over the past few years, we've locked in approximately 80% of our debt at fixed rates through 2028, and our free cash flow metric does not reflect the benefit of our FX and interest rate hedges, which added approximately $4,949 million of positive cash flow in Q3. During the quarter, we returned approximately $360 million of capital to shareholders through our dividend and share repurchases and declared our Q4 dividend at $0.55 per common share in unit, consistent with our target of $2.20 per share for the full year. Following our successful refinancing, we decided to utilize a portion of our $1 billion share repurchase authorization, retiring approximately 1.7 million shares of common stock for $115 million prior to quarter-end. Moreover, given our confidence in the strength of our business, we instituted a 10b5-1 plan that allowed us to continue repurchasing shares during our blackout period. As a result, in October we repurchased and retired an additional 5.9 million shares of our common stock for $385 million. As of October 31st, we had $500 million of capacity remaining on our repurchase authorization. Even with the resumption of share repurchases in September, we ended the quarter with available liquidity of over $2.5 billion, including 1.3 billion of cash on hand and our adjusted EBITDA net leverage ratio was 4.8 times, with a clear path to reach our target of the mid ForSx level before the end of next year. With that, I'll hand it over to Patrick for some additional thoughts on the business.
Patrick Doyle: Thanks, Matt, and thank you all for joining us this morning. This time last year, I was finalizing my own investment thesis ahead of making my equity purchase in RBI. I was clearly excited about the opportunity last November, and looking back now, I can say I am far more bullish today than I was a year ago. While we haven't gotten everything right this year and frankly, we won't always get everything right, we've made a ton of progress moving each of our businesses in the right direction. I've spent the past year assessing our brands, our teams, our franchisees, and our capital allocation priorities. We have four amazing brands in the largest and fastest growing QSR segments globally burgers, chicken, coffee and sandwiches. Each offers guests convenience, great value and the best food and beverages in their respective categories, and each is well positioned to succeed in various consumer environments. We have talented teams leading these brands with a winning combination of industry veterans and homegrown RBI talent. These teams are focused on clear priorities, delivering the highest quality products, running great restaurants, being a great resource to our franchisees, driving profitable traffic, and delivering compelling unit economics. We have many dedicated, ambitious and diverse franchisees aligned with our vision for growth. These franchisees span multi market, multi-brand international master franchisees all the way down to single restaurant operators. And we have a resilient business model that generates a ton of free cash flow, providing us with plenty of flexibility to invest for growth while returning capital to shareholders. To me, these are key ingredients for success, but to really succeed, it all comes down to driving consistently positive traffic and higher franchisee profitability. While we've definitely improved in both these areas to really get where we want to be long term, we need to execute against the key priorities at each of our businesses. At Tim Hortons Canada, axel and team and our dedicated restaurant owners continue to expand our high quality OPM food offerings and grow our cold and specialty beverage portfolios. They're already making great progress taking share in these key growth categories while maintaining our market share in coffee, breakfast, and baked goods. And they're doing all of this while improving restaurant throughput and providing unbeatable value and convenience for Canadians. I have no doubt the team is on the right path to drive long-term growth for this amazing, loved brand in Canada. At Burger King in the US, Tom team and franchisees are focused on operational execution and image modernization. We're one year into the Reclaim the Flame plan and frankly made more progress improving franchisee profitability and traffic in this one year than originally expected. We've also taken difficult but important steps this year to work through several distressed situations with franchisees and reposition restaurants into the hands of stronger local operators. As Matt mentioned, I think we will have addressed the bulk of these situations by year-end, and I'm happy with the outcomes we have driven thus far. We are taking a victory lap by any means. And for the year ahead, we're focused on further improving operations in our highest traffic service mode, the drive thru. Getting the remodel engine running to modernize our asset base and driving positive traffic growth. Getting the brand where we know it can and should be will not happen overnight. This is a multiyear journey, but I attended my first BK convention in October, and part of my optimism for this business is the alignment I'm seeing with our franchisees. I'm very confident in our ability to succeed and look forward to updating you on our progress along the way. At Popeyes in the US, Sami and team are executing easy-to-love, a multi-year plan focused on elevating the brand's menu offerings, operations, and restaurant development. I'm really excited about what the team has delivered this year from becoming the number two chicken QSR player in the US to the introduction of our Ghost Pepper wings and the development of our easy-to-run kitchen pilots. We still have a long way to go to get closer to that number one position, but I truly believe if we can make Popeyes easier to run for team members, we can drive more throughput in our restaurants, offer guests a better experience and start chipping away at that gap. At Firehouse US, Mike and team are all in on their goal to build a ton of restaurants with quality franchisees. I see no reason why we can't be opening a couple hundred Firehouse Subs per year in the US over time and expect to see the pipeline start to ramp next year. As we look overseas David and team continue building long-term development pipelines with well capitalized and ambitious master franchise partners. Over the years, we've developed global infrastructure that clearly distinguishes us from many other QSR players and allows us to introduce our brands to new markets. What's even more exciting to me is the fact that each of our brands, Tims, Burger King, Popeyes, and Firehouse is in a different stage of development around the world, meaning we have plenty of runway for growth for decades to come. And having just attended my first BK International Convention in France a couple of weeks ago, along with having visited a number of other markets, I couldn't be more excited about the strength of this business. As Josh mentioned before, we're looking for opportunities to peel the onion back on this exciting, high-growth part of our business. More to come later this year. To wrap up, I have a ton of confidence in our teams, our franchisees, and our long-term outlook. In fact, in August, we went to our board asking for a share repurchase authorization, and as Matt discussed, we put it to work pretty quickly over the past two months to reduce our share count at attractive prices. It's appropriate for you to take this as a reflection of our optimism and my personal optimism in the value being created here over the next few years. I'm really excited about the progress we've been making, but trust me, I know there is still a lot more we can do to accelerate development, drive traffic, and grow franchisee profitability. I'd like to thank you all again for joining us this morning and for your support. Now I'll hand it over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Dennis Geiger with UBS. Your line is open.
Dennis Geiger: Great. Thanks and good morning, folks. Josh, appreciate your commentary on unit development and the return to 5% plus next year. And I think, Patrick, you kind of spoke to confidence in the opportunities as well looking ahead. Just wondering if you could speak a bit more to that global unit growth opportunity, looking ahead over the next several years as some of the pressures maybe, that you've seen over the last couple of years roll off and then really that potential across brands and markets that you spoke to you knowcomes into view a bit more over the coming years. Thank you.
Josh Kobza: Hi, Dennis. Good morning and thanks so much for the question. Yeah, as we mentioned a little bit earlier, there are a lot of reasons we're pretty excited about where we can go on unit development and why we're confident in that 5% plus. So I'll take through a few of them. You know, I thin, the first clear one is just stabilizing the unit count at Burger King in the US. That will be a bit of a drag this year in 2023. And I think what we're seeing in the business between sales consistently growing now having stable traffic that will look to turn to positive over time and franchise profitability, probably most important of all, which is really moving back in the right direction. That starts to give us a bit more visibility into being able to stabilize the unit count next year and beyond. So we think that's a big driver in terms of where we can, how we can evolve the net restaurant growth globally. I think there's another factor is Burger King in China. You know that one that's been more stable in terms of unit count for the last couple of years. And we're starting to see the pace of unit growth there pick up. So we're seeing more progress there this year than we saw last year. And we look forward to a good year-end. So we feel like we're making some progress with Burger King in China, which helps as well. Then I'd say the next big, big part of the equation is Firehouse around the world, but particularly in the US and Canada. You know, Mike and the team have done a great job in improving the unit economics this year. We're seeing franchise profitability moving in the right direction, and we put in place a pretty comprehensive development incentive program. We've had tremendous interest from our franchisees and that gives us a lot of confidence in what Firehouse can do in the US. We're also doing a lot in Canada. It's a big driver of growth. We have a fantastic business in Ontario. I was there visiting restaurants just last week with Mike and the team and they operate really well. And we're going to open in a lot of new provinces across Canada here in just the next few weeks. So we're really excited to bring firehouse to Western Canada in particular. And that'll be a big driver for next year. The last big piece I would mention is taking the brands to new markets around the world, particularly some of the newer brands. So Tims has been ramping up pretty meaningfully. You probably saw that in some of the international materials that we put out a month or two ago. But Popeyes is really, really doing tremendously well, too. We've got a bunch of great markets. We have some new markets that are doing really well. We were just in France actually a few weeks ago in Patrick and I had a chance to see some of the new Popeyes restaurants. The product is incredible. The image is great. The digital experience is very special. We do all kiosks and table services. So there's a lot of reasons that that we're seeing for the new brands to ramp up their pace of growth to. And I think that gives you it gives you a lot of ways to get to a higher number. I think that's the great side of it. We probably won't get them all right, but I think there's a lot of reasons that we're confident that we're going to get to that higher growth rate.
Operator: We now turn to Brian Bittner with Oppenheimer. Your line is open.
Brian Bittner: Thank you. Good morning. My question relates to Burger King US and your plan to spend $150 million on advertising and digital by the end of '24, you've only spent 33 million of this so far, so you have almost $120 million left to spend over the next five quarters. And I think you talked on your prepared remarks about how you've preserved a lot of firepower. Was that the plan all along to preserve the firepower the way you have and as you deploy it moving forward, should we expect it to support a new advertising campaign, or should we expect you to double down on what's been working?
Josh Kobza: Yeah, Brian, thanks for the question. You know, you're right. We have spent a little bit less of it period to date than you -- then maybe the average over the -- over the whole period would be and as Matt mentioned in some of his prepared remarks, we do expect to ramp up the pace of spending into Q4 and next year. I wouldn't say that was any particular strategy. It's just the way that the advertising spending and different campaigns have laid out. I think as you look into next year, of course, we'll have some new stuff coming. We'll have some exciting new products, we'll definitely have some new campaigns. But I think you can probably expect that a lot of those will continue to be focused on our core equities. We think that Burger King has some really special things about it between the Whopper flame grilling and have it your way. And while we'll always bring kind of new twists on things, I think you can expect more focus on a lot of those core equities from us.
Operator: We now turn to David Palmer with Evercore ISI. Your line is open.
David Palmer: Thanks. On Burger King US I think this is probably the biggest hang up for investors on the stock. And I was wondering if maybe Josh, you and Patrick want to talk about that a little bit. And the brand turnaround, obviously half the assets probably are pretty outdated, maybe very outdated in the US, and that seems like a big disadvantage versus direct peers that have gone through their reimaging cycles already. So obviously that makes people think maybe doubt the sustainability of a brand turnaround into '24. So maybe you could talk about that. And then and then obviously building costs and interest rates are higher. So perhaps you can give a sense, maybe the long term sense about the pace that you think you could affect the turnaround of the assets. Thanks.
Josh Kobza: Thanks, Dave. Appreciate the question. And certainly Burger King US is a big focus for us and for Tom and the team. And I think Tom and the team are doing a really great job. We mentioned a little bit earlier, we just had our convention here in Miami, had all the franchisees together, and everybody really feels the progress being made. I think there's been a big change in sentiment and support and confidence across that business. A couple of the things that that are helping me feel more confident about it, you know, one of them, which we mentioned here earlier, is the same store traffic. And if you go back over the last year, you know, we were pretty meaningfully behind where the industry was. And we've systematically narrowed that gap to where we got it back to flat. And now in the past couple of months, we're actually performing above the industry in terms of same store traffic. So I think you're seeing very clear evidence on some of the most important KPIs that what the team is doing is working. In terms of the assets, we definitely need to get to a more modern asset base. The way I framed it, I think, you know, basically every Burger King that you see across the US, it needs to be modern, convenient and competitive across the country. What gives me confidence there is that we're seeing good results initially from the remodels. So those uplifts are above where we expected. And that means the returns are starting to work. And I think that's really important for us and for the franchisees. And on top of that, we're seeing a lot of momentum in franchisee profitability. And that has benefits in terms of confidence and where we're going. But it also generates profits that can be reinvested into the system to be able to fund all of those remodels. As you pointed out, interest rates are higher and that is a higher cost on the margin. But I really look at those unlevered unit economics, the unlevered returns on the remodels. That's what we can control and we can impact. So we are very focused on making sure that those gross returns are good, and we're getting to a place that we feel much better in. The last thing I would just point out, it usually gets less attention, but I think it's perhaps one of the most important is operations. And Tom has brought an incredible focus on the quality of operations and guest experience, everything from product quality and temperature to hours of operations and speed of service. And we're making a lot of progress under the surface there. And I think that's a really important ingredient to what's driven the same store traffic improvements to where we are today. Patrick, I don't know if you want to add anything to that.
Patrick Doyle: Yeah, I would, so that last point that Josh just made, I mean, you listen to all these calls and there's always a lot of discussion about operational improvements. I will tell you, it is very real. We are foundationally running these restaurants better than we were a year ago, and I am sure better than we were five years ago and it's working. In terms of the assets, I guess what I'd say is you're exactly right. You know, we're a little bit under 50% in the image that we want to be in. It's not a great reflection of where we are. And we've got all of those improvements ahead of us. So if we've got assets that don't all look great today and we're already outperforming on a traffic standpoint that tells you we should be pretty confident about what we're going to be able to do once we get those assets where we want to be. The last thing I would say is the comment I made about the alignment with the franchisees, it is pretty remarkable right now. We are going through an awful lot of change, and our great franchisees in the Burger King system are aggressively talking to us about keep going. You're going the right way. This is working. Keep the pressure on to continue improving operations, to continue getting our assets where they need to be. That alignment is what allows us to move fast. Trust levels are building with Tom and his team, and it's what allows forward progress. So I'll tell you, I am awfully confident about our ability to keep this going. This is you know, these are foundational things that are driving this business right now. And that's pretty exciting.
David Palmer: Thank you.
Operator: Our next question comes from Andrew Charles with TD Cowen. Your line is open.
Andrew Charles: Great. Thank you. I wanted to pivot to Tims Canada for a second, obviously impressive performance in the third quarter. There seems to be investor concern on the Canadian consumer. That might be even more concern than the broader US consumer. And I'm curious, you know, in the context of very strong 3Q results. You know, what part of the plan for Tims would you guys lean on the most if we were to see the consumer pull back more in Canada?
Josh Kobza: Yeah. Thanks, Andrew. I would tell you, we haven't seen any big change in consumer behaviour yet in Canada at this point. As I mentioned a little bit earlier, the business is doing really well. I think Axel and the team have done a really nice job focusing on the basics and that's what's propelling both traffic and sales growth. And it has for an awful lot of quarters now. I think if you just step back and look at how Tims is positioned in the Canadian market, we do all of the fundamentals of QSR, right? We have high quality products. We are incredibly convenient. And we offer it at a compelling price point. And I think that's a great place to be in any market, whether you're in a good sign of the economic cycle or a little bit more difficult one. So we're just going to keep focusing on that. We're going to keep introducing really fantastic products. We're going to have compelling value. And the teams working on operations to make sure we do it even faster. Some of the things I mentioned earlier are really incredible. We improved the speed of service in the drive thru by 10% year-on-year. That's a tough thing to do in a big business like this with a ton of volume. And so I think Matt Moore and the team there have been doing some good things. So we're just going to keep focusing on the basics. I think we're well positioned regardless of the economic environment. And we'll keep you updated as things evolve.
Operator: We now turn to Lauren Silberman with Deutsche Bank. Your line is open.
Lauren Silberman: Thank you very much. My question is on BK International. Two parts. One is a follow-up to Dennis' question. As you look out over the next few years, do you think that BK global can get back to 6% plus global unit growth that it saw pre-COVID and then just on BK International for this quarter? I think you mentioned a decel in comps is largely driven by price. It looks like relative to 19 also a bit of a decel from 2Q? Is there any specific market call out or additional color you can provide on what you're seeing across markets? Thank you.
Josh Kobza: So, Lauren, I'll take both of those. Maybe I'll take them in inverse order. So, first, in terms of the evolution from Q2 to Q3, we did see a bit of a slowdown in comps, and I'll give it a little bit of color. The biggest driver on that I think is some reduction in year-on-year price. One market that moved a bit is France, which I would just say Q2 was really incredible. We were doing double-digit same-store sales and that slowed down a little bit into Q3, but we're still high single-digits, around 9% same-store sales, and we're taking significant market share. So we're performing above the industry. So you have some of those where you saw a little bit of a slowdown sequentially, but generally the performance is still really good, especially in France where we're really pleased with the business there. And it's actually it's our biggest market at this point for BK International. In terms of the unit, the pace of unit growth won't get into breaking down the exact numbers of the forecast. But I do think there's an opportunity for us to improve a little bit in terms of the BK International pace of growth. The piece I mentioned a little bit earlier that I think is already starting to move is working in China. That had been a bit of a slower grower for the last couple of years and we've seen improvements. So we've already seen the openings year-to-date are improving a lot year-on-year and I think the outlook is for some pretty meaningful improvement in '23 versus '22. So that's probably the most important or specific piece that started to go in the right direction. And we hope to see more next year.
Operator: We now turn to John Ivankoe with JPMorgan. Your line is open.
John Ivankoe: Hi. Thank you. Josh, in your prepared remarks, you mentioned, you know, franchisees that were focused -- focusing on quality over quantity in terms of, you know, their bigger remodels. And obviously that's interesting, especially when we talk about scrapes and rebuilds that can well exceed $1 million per project, I think up to $1.8 million per project. So, you know, can you talk about what that means for you? You know, as you kind of think about, you know, doing 800 units for 200 million, I think the numbers are correct me. But, you know, through 2025, might we expect, you know, a lower number of units that are done with a higher contribution but a higher sales lift. Just, you know, dive in a little bit more, you know, if there are any implications on that comment in terms of the timing and the cost of the number of projects you know, that you expect to accomplish in the next couple of years. Thank you.
Josh Kobza: Thanks, John. So we are seeing a higher mix to your point of both scrapes and what we call full remodel. So that's a more scope heavy remodel. And I think that's a great thing. It means our franchisees are really investing for the long-term. And those types of remodels definitely have the highest sales uplifts. By far they make the most impact on the experience of both our guests and team members. So we're really happy to see that focus from our franchisees and kind of shared point of view on making big investments for the long-term. To your point, that will likely shift a little bit the spend where it might be a little bit higher contribution for unit, a little bit lower number of units within that mix. But I would tell you we think that's a positive thing. We want to see the right investments made. That's the big shift we're trying to make in this program. And we think that's what's going to produce the best business results over the medium to long-term.
Operator: Our next question comes from Eric Gonzalez with KeyBanc Capital Markets. Your line is open.
Eric Gonzalez: Hi. Thanks for taking the question. Sounded like you made a lot of progress on the digital side this quarter, particularly at BK US where I think I heard you saw 40% improvement in digital sales. So maybe you can give us a few more highlights on the progress we've made on the technology front, and help us understand more about your aspirations to make the brands more digital over time, and how you're measuring the return on those investments. Thanks.
Josh Kobza: Thanks, Eric. You're absolutely right. We made a lot of progress in the quarter. We were up, I think over 40% in terms of digital sales at both Burger King and Popeyes. I think those teams are doing a really nice job on getting all the basics right. They're making sure the apps are faster. They're really learning how to work well with the delivery business. So they're growing that business. And I think importantly with Burger King, we're starting to make some progress figuring out kiosks. And you go back a few years. We had started to bring kiosks to the US. There wasn't so much consumer uptake. And I think that condition has really changed. You know, we've started to pilot in more and more of our Burger King company restaurants, and we're seeing tremendous results. The vast majority of the in-restaurant tickets are all going through these kiosks. So that's a lot of what's driving that 28% number that I mentioned in terms of the digital sales at company restaurants. So I think the US is ready for kiosks now and we're likely to see a faster rollout of those around the world. You know we've seen it in all of our international markets. I mentioned earlier, we're over 50% of our international markets have been converted to kiosks. And it really transforms the guest experience and the team member experience especially when you go kind of all in on kiosks and convert the whole restaurant makes it really clear for the guests, give them, gives them time and kind of a no stress ordering experience. That tends to also lead to higher order values, which is good. And it also reduces stress on the team members. You take away that sort of stressful interaction at the front counter for both sides and the team members can focus more on producing a really high quality meal and delivering it in a kind way to the guests. So I think this is a great thing for the business. It's exciting that consumers are more accepting of it in the US than they were a few years back, and it's something that will likely start to roll out pretty rapidly across all of our US businesses. Last point I would just make, Eric, on your question regarding our aspirations in digital. I tell you, my point of view is we need to get this business to 100% digital. We should have all of the order taking done through digital ordering channels over time. We'll have to see exactly what that looks like especially in a drive thru. But I'd say that, that's sort of our North Star of where we want to go with the business. We have that in quite a number of our restaurants in international markets and it really improves the operation of the whole restaurant. Patrick, anything you want to add?
Patrick Doyle: The only thing I'd add is, you know, Josh and I were in stores mentioned in Paris that are 100% digital because they don't have a drive thru, it's 100% kiosk. It is so much better of an experience, not only for the customers, but for the people working in the restaurants. It's better for profitability. I mean, everything you've heard from us and frankly, you've heard from other big players and it's a big point of leverage for scale businesses versus smaller players to be able to roll this out into the restaurants, have it work, improve the efficiency of the restaurants, the customer satisfaction. I mean, it just, it is a win on every single front. And so it is clearly where we're going to be going as rapidly as we can. And frankly, you're going to see it with other players as well because it just it's a better way to do business.
Operator: Our next question comes from Sara Senatore with Bank of America. Your line is open.
Sara Senatore: Great. Thank you. I have a clarification and then a question on Tims Canada. Just the clarification is you mentioned that the BK remodel lifts were better than expected. I think the last number that we saw was something like 12% sales. So just trying to understand if you're saying that the sales lifts are actually higher than that or if you could quantify it. And then on Tims Canada I know you said you're taking share of lunch, but the PM food sales increase is 7% with slower than the system-wide sales growth. So is that just a slower growing daypart? Or is there less of a tailwind from mobility there, just as the economy reopened? Just trying to reconcile share gains but a slower growth than the broader business. Thanks.
Josh Kobza: Yes. Sara, on the first one on BK remodels. What I was referencing is what you said that we are seeing in the initial remodels recently. We're seeing higher than that 12%. I'd say we should let us get a few more data points, a little bit more time before we update any of those numbers. But we're very pleased to see that we're coming in above what we're seeing historically. In terms of Tims Canada. I think we have made some progress on the PM food side. To your point, the sales growth in the PM day food -- in the PM day part is pretty similar to what we're seeing overall in the market. So we're looking to make more progress there next year. We have some things in the pipeline that I think will allow us to do that, and a lot of that will probably come in 2024.
Patrick Doyle: Yeah, maybe. Sara, the only thing I'd add to that is in Q3, we're lapping from 2022, a full quarter of loaded. So that also is something that we're growing on top of this quarter.
Operator: Our next question comes from Chris Carril with RBC Capital Markets. Your line is open.
Chris Carril: Hi. Thanks and good morning. I wanted to follow up on Popeye's. Maybe can you expand a bit more on the progress with easy-to-love and easy-to-run strategies and development for the brand remains strong. I think up over 11% during the quarter. So curious if you could comment on how you're thinking about contribution by Popeyes to overall development next year and beyond? Thanks.
Josh Kobza: Yeah, Chris. So on each of those on the easy-to-run work on the kitchens, we continue to work on those pilots. So we've got it out in quite a number of restaurants now and we're seeing what's working well. We're making tweaks to some of the things that need improvement. And we want to make sure that we get that model really locked in and have really clear benefits to show the system before we roll it out. So you'll probably see us over the next couple of quarters adding more restaurants to those pilots, getting more franchisees involved and making sure we kind of finalize the format of that before we roll it out to the system at large next year and beyond. In terms of development, you're right. It's been a really big driver for us. You know, I think, if you just step back a little bit, you know, the global chicken QSR segment is really awesome and it's been doing great over a long period of time. You know, within the US, it's been one of the fastest growing and largest segments. There's a lot of players doing really well. I think chicken overall has been gaining a lot of share systematically within the US consumer's basket of goods. So it's a great place to be. And the same is true in international. There's a lot of international markets where chicken is growing a lot and I think we have decades of tailwinds of growth in that segment. And fortunately we've got a terrific brand with the best product in that segment. And you're seeing us grow and grow it in both of those geographies. We've consistently been one of the fastest growing, you know, drive through concepts in the US. And we continue that into this year. And we've ramped up the international growth. You saw in the materials that we shared when we did the international visit that Popeyes is really ramped up the pace of restaurant growth in a lot of different markets around the world. And I still think we're very early in that process, got some really big markets out there, places like India, France, China where we've just gotten started. But some of the initial results are really encouraging. As I mentioned, the France stores that we just got started in over the last year or so, they're doing fantastic. Average restaurant sales are really good. And so we just need to ramp up the pace of development. And I think that's one of probably one of the biggest opportunities that we have as a company, as you look over the next decade, is to make Popeyes very relevant kind of leading brand in all of these geographies around the world.
Patrick Doyle: And the only thing I'd add on that is I'd point to the system-wide sales growth number for the rest of the world for Popeyes, which was 43.6% up, rolling over 43.4% up for the quarter a year ago. Plus 40s on top of plus 40s. Those numbers get really large very fast, that business is just exceptional both in the US, but particularly outside of the US in terms of the growth that it can generate.
Josh Kobza: That's a good point. Thank you Patrick.
Patrick Doyle: Plus 40s are good.
Josh Kobza: Great. Thank you. I agree.
Patrick Doyle: That's my headline.
Operator: We now turn to Brian Harper with Morgan Stanley. Your line is open.
Brian Harbour: Yep. Thanks. Good morning guys. Just on Tims Canada the supply chain profit dynamic. Matt, would you expect that to be similar in the fourth quarter. Any comments on that. And then also maybe just comment on franchisee profitability. There I think you said double-digit increases like in other markets. But you know what other initiatives are kind of most important for you on that front. How much more progress do you think you can make on that side?
Matt Dunnigan: Yeah. Thanks, Brian. Matt here. So just on the supply chain question. I think what we were trying to describe was the dynamic that we saw in the second half of last year between Q3 and Q4, which, you know, is creating a little bit of year-over-year volatility in that we increased prices entering the second half of last year as commodities were going up into the right. And so therefore, Q3 of last year was a bit stronger. And then you know our average cost base was higher in Q4 of last year. So where we are this year is we feel really good about the strength of the Tims business progress and traffic that we're driving there, which is the primary driver of the supply chain business. So we still see good continued momentum there. And we expect if you sort of look through the second half, our average growth in organic gross profit for that business for the second half we think will be strong and similar to the first half of the year.
Josh Kobza: And then, Brian, just on your question in terms of franchisee profitability at Tims in Canada, we are making a lot of progress there. It starts with sales and Axle and the team have done a terrific job driving really strong same-store sales over the last few years. But this year as well, that makes the P&L get a lot better. But we've also been doing work on some of the other lines as well. Matt Moore and his team have been working very closely with all of our franchisees in Canada to do a lot of trainings that helped us to manage the P&L better everything from inventory clinics to a lot of focus on labor scheduling. All of those things kind of they're small improvements, but they make a big difference on the P&L. And on top of that, we have seen a bit of moderation in some of the cost of goods. So we're seeing softer kind of inflation in terms of our cost of goods basket, and that certainly helps as well. So all those things are adding up to some pretty substantial progress, and we're excited to be able to share with you kind of where we land for the full year when we share our Q4 results in February.
Brian Harbour: Thanks.
Operator: We now turn to Gregory Francfort with Guggenheim Securities. Your line is open.
Gregory Francfort: Hey, thanks for the question. Maybe I don't know if it's for Patrick or Josh, but just, are you considering making further investments in the Burger King US business beyond the 400 million? I need to talk about it a little bit, but I ask it because I guess if you prove the returns are high enough where you would increase that size, theoretically, franchisees would then also be willing to make the investments. I'm just trying to think about the path the next 18 months that would tell you that 400 million was the right level or what you would need to see to consider raising that. Any thoughts there? Thanks.
Josh Kobza: Good morning, Greg. Thank you for the question. You know I would say that I think we're really pleased with the progress from Tom and the team at BK. It's really great. And we're excited to make that $400 million investment. We're seeing good returns on the initial portion of it. But to your point, we want to see even more data that supports the return on those investments. And I think we'll see that over the next year and a half or so. We'll see more and more remodels. And we want to see continued uplifts that tell us that those returns are going to be really good. And we structured the program that way intentionally. We set up about a two year program initially to cover 2023 and 2024, which would allow us that we could prove return on capital from things like our advertising spend, which is going great, and on remodels, which is going well, but it's still a little bit earlier. I think, to your point on, future investments will absolutely be open to making future investments in the BK system. What we're doing in '23 and '24 will allow us to make progress and prove things out, but it doesn't take us all the way to where we need to be. I mentioned earlier, we need to have effectively every restaurant in the BK system needs to be modern, beautiful, convenient. And that means that we're all going to have to keep making investments beyond 2024. The exact form of that we still have to figure out. And we've got to work with our franchisees to agree on what level investments and what format that will take. We don't have anything to share on that yet. We'll keep working with our franchisees and we'll share more with you all once we have it all figured out.
Operator: We now turn to Danilo Gargiulo with Bernstein. Your line is open.
Danilo Gargiulo: Thank you. I was wondering if you can share some details on the intra quarter cadence of your same-store sales and traffic especially with regards to Popeye's and Burger King in the US and what might be impacting the cadence. That might give you some incremental confidence onto getting into 4Q and beyond. Thank you.
Josh Kobza: Good morning, Danilo. Thank you for the question. I would just reemphasize that we're really pleased with how both of those brands performed. We mentioned that both Popeyes and Burger King in the US got to flat traffic, and BK has actually been performing above the industry in the last couple of months. I'm not going to get into the kind of month to month stuff. We generally try not to do that, but I think a lot of the things that are working are things that we're doing very systematically across both of those brands, and that's what gives us confidence that we can continue that pace of improvement in the quarters and years to come.
Operator: Our next question comes from Jeff Bernstein with Barclays. Your line is open.
Pratik Patel: Hi. Good morning. This is Pratik on for Jeff. I just wanted to ask about BK US and the broader quick service industries positioning into a potential macro slowdown. I think in the past you've spoken of a trade down benefit from above and maybe losing some customers to food at home. Can you talk about what you're currently seeing with your customers by income cohort? We've heard some others in your industry talk about cheque management recently and have you seen any signs of that to date? And Patrick in a potential economic slowdown, how do the four brands compare to your prior life in what's perceived to be a very resilient value led pizza segment? Thanks.
Josh Kobza: Thanks, Pratik. A couple of thoughts on this. And then I'll let Patrick comment on pizza. So, you know, I would just say that the business seems to be doing pretty well, right? We're seeing consistent same-store sales, our traffic has been stable. So the actual business performance has been good. If you look back to past macro cycles, our industry tends to do pretty well overall. I think what we offer is good value, convenience, quality products. That's the kind of thing that tends to perform pretty well through the cycles. And as Patrick I think has pointed out a number of times, the biggest thing that really drives our industry is employment. Employment's been pretty good. So all those factors, I think, give us a lot of comfort that the business does and should continue to perform well kind of regardless of what's happening in a broader macro environment.
Patrick Doyle: Yeah, just to throw in data point there on what Josh was talking about. We did in the quarter. See traffic growth in the less than $100,000 income cohort with our guests, based on some of the compelling value offers that we had like the Royal Crispy Wraps and the Whopper Junior Duo. So just a data point on that. Yeah, I guess, what I would add to that is just simply, look, these categories are the same as pizza, which is they're good value. They are not recession proof, but they are recession resistant. And they are, as Josh said, they're driven by employment levels. We added another 150,000 jobs last month and that's a good thing for the category. So, you know, I still see things as pretty darn and good overall as long as employment levels stay solid I think the category is going to do absolutely fine.
Operator: We now turn to Joshua Long with Stephens. Your line is open.
Joshua Long: Great. Thank you for taking the question. When we think about the narrowing of that gap on traffic specific to Burger King US certainly exciting and it seems like you've also been able to do that with a real focus on day to day operations and kind of the core equities from a marketing perspective. Just curious if you think there's more opportunity for upside to continue closing that gap and driving traffic before needing to lean into maybe new product innovations or new LCOs specific to the US.
Josh Kobza: Can I just? I'm going to start by saying we don't want to narrow the gap because it's a positive gap for us. We want to expand the gap at this point. And, yes, Joshua I think there are absolutely opportunities to continue to, as Patrick said, expand the gap. So a couple of big ones. I really think the operations side is one of the things we will be continuing to focus on it. I think it's a huge opportunity. We have made a lot of progress over the last year and a half or so, but there's still a long way to go. We still have restaurants that have big opportunities in terms of the quality of operations we're running there, and that is a front center focus for Tom and the team. We want -- we made some progress in some of the OP stats, whether it's our internal ones or some external rankings, but we want to go much farther on that than where we've gotten to. And I think that's maybe one of the single most important drivers of our traffic opportunity over time and perhaps a bit of an underappreciated one. I also think that what we're doing on the image side is going to be really powerful and we've just gotten started there. So we have a lot more we want to do in terms of modernizing the fleet. And when we do those remodels, especially when they're the more meaningful ones, those kind of full remodels and the scrapes that I mentioned with John's question, those are really powerful in driving additional traffic to our restaurants. So as we get more of those going on, I think that's going to be a bit of a tailwind to.
Joshua Long: Helpful on widening that gap. Thank you.
Operator: This concludes our Q&A. I'll now hand back to Josh Kobza, CEO, for closing remarks.
Josh Kobza: Thank you all so much for taking the time to join us today. And again thank you very much to all of our team members, to our franchisees, to our restaurant teams around the world who drove a really great quarter this quarter. We look forward to updating everybody on our results again for Q4 in February and wish you all a great rest of the day.
Operator: Ladies and gentlemen, today's call is now concluded. We'd like to thank you for your participation. You may now disconnect your lines.